Operator: Good afternoon. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Resideo 2025 Second Quarter Earnings Call. [Operator Instructions] I would like to hand the conference over to your host today, Chris Lee, Global Head of Strategic Finance. You may begin your conference.
Christopher T. Lee: Good afternoon, everyone, and thank you for joining us for Resideo's Second Quarter 2025 Earnings Call. On today's call will be Jay Geldmacher, Resideo's Chief Executive Officer; Mike Carlet, our Chief Financial Officer; Rob Aarnes, President of Resideo's ADI Global Distribution business; and Tom Surran, President of Resideo's Products and Solutions business. We would like to remind you that this afternoon's call contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identified the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. In addition, we will discuss non-GAAP financial measures on today's call. These non-GAAP financial measures, which can sometimes be identified by the use of adjusted and the description of the measure, should be considered in addition to, not as a substitute for or in isolation from, our GAAP results. A reconciliation of GAAP to non-GAAP financial measures is included in our earnings press release and earnings presentation, which are both accessible on the Investor Relations page of our website at investor.resideo.com. Unless stated otherwise, all numbers and results discussed on today's call other than revenue are on a non- GAAP basis. With that, I will turn the call over to Jay.
Jay L. Geldmacher: Thank you, Chris, and thanks to everyone for joining us today. Resideo delivered exceptional results in our second fiscal quarter. Both net revenue and adjusted EBITDA were new record highs, and those 2 financial metrics plus adjusted EPS all exceeded the high end of our outlook range. These record results are consistent with our team's continued execution and the company's healthy operating fundamentals. We achieved year-over-year organic revenue growth of 10% at ADI and 5% in our Products & Solutions business segments. Gross margin expansion and increased EBITDA generation were underpinned by growing operating income dollars at ADI and P&S, both sequentially and year-over-year. Demand for our new products, including the Honeywell Home FocusPRO thermostats and First Alert combined smoke and carbon monoxide connected detectors continues to be strong. We are excited about our pipeline of new products that both business segments are introducing in the second half of 2025. ADI's integration of Snap One continues to progress well and ahead of schedule. Tom, Rob and Mike will speak in greater detail to our execution and results shortly. Resideo has been executing amidst a dynamic macroeconomic environment. While our market outlook continues to be relatively cautious, especially given the ongoing dialogue around tariffs by the U.S. administration, we believe our pipeline of products and the strength of our integration of Snap One is positioning us well. Our tariff mitigation actions have been effective and are materially unchanged from what we shared last quarter. Consistent with the first quarter, ADI and P&S customer demand in the second quarter has been healthy. Even as we have raised prices to pass along the cost impact of tariffs, our relationships with our customers continue to be excellent. We have also taken other actions, such as working with our partners in our supply chains to mitigate the impact of tariffs. Resideo continues to remain agile, and we believe we are well prepared to react to new developments in this dynamic environment. I am pleased with the team's consistent execution. Due to the strength of our business, Resideo is raising its 2025 outlook, which Mike will speak more to in his comments. Let me now hand the call over to Tom.
Thomas A. Surran: Thanks, Jay. The Products & Solutions team executed well in the second quarter, delivering year-over-year organic net revenue growth and the ninth consecutive quarter of year-over-year gross margin expansion. P&S reported net revenue growth of 6% year- over-year and 5% organic growth, which excludes an approximate 1% favorable impact from currency. Revenue grew across the majority of our sales channels driven by customer demand for our new products and price realization. Now let me walk through each of our primary channels. The electrical distribution channel led revenue growth in the quarter. Revenue associated with our BRK branded safety products sold to professionals increased from a combination of increasing content per new home and the transition to UL 8th edition fire safety products. The retail channel had a record quarter of revenue growth, driven primarily by strong point of sales volumes for both our new Honeywell Home FocusPRO series of thermostats and our new First Alert SC5 connected smoke and carbon monoxide detector. The SC5, developed in partnership with Google Nest, is compatible with the Google Home app and was specifically designed to seamlessly replace Google's discontinued Nest Protect alarms. The OEM channel posted a third consecutive quarter of year-over-year revenue growth driven primarily by the sale of higher-priced and more profitable units as the energy equipment market in the Americas and EMEA continues to improve. Revenue in the HVAC channel was flat to slightly down in the quarter as the market experienced some softness due to the macroeconomic environment. In addition, we experienced some disturbance in the market from the recent transition of refrigerants used in the HVAC equipment in accordance with the new United States regulations. Despite that, we believe we have grown our position in the segment driven primarily by continued demand for our new products. Revenue in the security channel was down year-over-year, primarily due to a decrease in sales from a large private label customer. The general market was also down slightly in a continued soft domestic residential market. Gross margin was 42.9%, up 160 basis points year-over-year. This is the ninth consecutive quarter of year-over-year gross margin expansion driven primarily by continued efficient utilization of our factories that more than offset an immaterial amount of tariff- related expenses. The vast majority of P&S goods sourced for Mexico are USMCA compliant, which continued to be exempt from tariffs. Looking ahead to the second half of 2025, we expect continued demand for our new products introduced earlier in the year. We intend to capitalize on this momentum by introducing additional new products in the air and comfort, security and water categories. In closing, the Products & Solutions team is executing against our strategic plan, delivering new products against a multiyear product road map while achieving organic net revenue growth, gross margin expansion and adjusted EBITDA growth. With that, I'll turn the call over to Rob.
Robert B. Aarnes: Thanks, Tom. The ADI team achieved 33% year-over-year growth in reported net revenue in the second quarter and 10% organic growth after excluding the impact of the Snap One acquisition and the impact from currency. Organic average daily sales grew 10% year-over-year. ADI also recorded organic growth despite the benefit of 2 percentage points from recouping tariff-related impacts through price realization. As a reminder, this is the last quarter that Snap One will be excluded from organic growth calculations as we lap the 1-year anniversary of the close of the acquisition. To establish go-forward disclosure, with the inclusion of Snap One, total ADI year-over-year growth in reported net revenue was 9%. Now getting into revenue drivers. Organic net revenue growth was driven primarily by continuing commercial customer strength across most product categories and increasing contributions from the digital channel. From a product category perspective, we saw solid double-digit percentage organic revenue growth year-over-year in multiple categories with notable contributions from the commercial security, fire, professional audio/video and data communication product categories. These performance trends also hold true on a total ADI basis. From a customer perspective, the cohort of top integrators also saw solid double-digit percentage growth year-over-year, showcasing our importance to these valuable customers. ADI is winning more new project business, evidence of our scale and execution capabilities. Organic e-commerce net revenue grew 19% year-over-year, achieving another quarter of strong revenue contribution and a new record in run rate daily sales average. E-commerce continues to be structurally accretive to total ADI gross margin. With the inclusion of Snap One, total ADI e-commerce net revenue grew 8% year-over-year. Exclusive Brands organic net revenue increased 32% year-over-year while also generating more gross margin dollars in the quarter versus the same period last year. Growth was primarily driven by continued success on cross-selling exclusive brands added to our portfolio with the Snap One portfolio. In the quarter, we added nearly 200 SKUs. We also continue to be recognized for the value we deliver to the customer, notably being named the #1 top industry distributor in the CE Pro 100 brand analysis. With the inclusion of Snap One, total ADI Exclusive Brands revenue grew 5% year-over-year. The integration of Snap One continues to progress nicely and remains ahead of our synergy goals this quarter. We are excited to highlight that the acquisition has been accretive to Resideo in our first full year of ownership. ADI reported 22.2% gross margin in the second quarter, up 280 basis points year-over-year. The margin expansion was primarily driven by higher volumes of Snap One exclusive brands, sales across ADI's entire customer base and the sales of lower-cost inventory that provided a temporary benefit. Note that we have adjusted prices dynamically related to tariff mitigation actions and to protect ADI's gross margin dollars. The increased margin dollars flowed down to support our adjusted EBITDA growth. In closing, ADI is executing well. Driven by our customer-first ethos, we look to continue driving organic revenue growth and adjusted EBITDA growth throughout 2025 and beyond. Now let's turn the call over to Mike to discuss our second quarter's financial results and 2025 outlook.
Michael Carlet: Thanks, Rob. Good afternoon, everyone. Let's get straight into the quarterly results. As Jay highlighted, our second quarter was very strong, with net revenue, adjusted EBITDA and adjusted earnings per share, all above our outlook for the quarter. Total net revenue was a record high of $1.94 billion, up 22% year-over-year and up 8% on an organic basis, excluding the impact of the Snap One acquisition and a 1% favorable impact from currency. Both Tom and Rob spoke earlier about the drivers of organic net revenue growth in their respective businesses. Total company gross margin in the quarter was 29.3%, up 120 basis points year-over-year. The increase is primarily driven by the more margin-accretive activities at ADI and the structural operating efficiencies at P&S. Second quarter total company adjusted earnings per share was $0.66, above the high end of our outlook range and up from $0.62 from the same period in the prior year. In the quarter, we recorded a current liabilities balance of $1.625 billion in conjunction with the expected termination of the Honeywell indemnification agreement with a corresponding expense of $882 million. This results in a reported GAAP net loss and loss per share. This item was adjusted out to arrive at our adjusted EPS and adjusted EBITDA. Total company adjusted EBITDA was a record $210 million in the quarter, up 20% year-over-year and exceeding the high end of our outlook range. The primary drivers of the increase were a positive contribution from Snap One as well as customer demand. These positive drivers were partially offset by investments made in both business segments. Going forward, we expect our adjusted EBITDA to benefit from the removal of the $35 million quarterly payment to Honeywell related to the termination of the indemnification agreement. Total cash provided by operating activities was $200 million, driven primarily by strong sales and collections in the quarter. Now before I provide our financial outlook for the third quarter of 2025 and the full year 2025, let me walk you through some of our market perspectives and assumptions that are incremental to those shared with you last quarter. As previously noted, adjusted EBITDA is expected to benefit by $35 million in each of the third and fourth quarters related to the terminated indemnification agreement, while cash provided by operations benefits by $35 million as we did make a payment to Honeywell in July. In our cash provided by operations outlook, we assumed $20 million of separation-related payments in the second half of 2025. In a continued dynamic environment, we are maintaining our second half 2025 expectations. For our second half outlook, we account for the impacts from the terminated indemnification agreement and a shift in ADI's implementation of a new ERP system from the second quarter to the third quarter. And while this is not a change, we felt it important to reiterate that we included the impact of all tariffs currently in force as of today in our outlook. We continue to assume we will benefit from the USMCA tariff exemptions for products manufactured in Mexico. With all that, we are raising our 2025 outlook as follows: total company net revenue to be in the range of $7.45 billion to $7.55 billion; total company adjusted EBITDA to be in the range of $845 million to $885 million, and note, this range is inclusive of $70 million related to the payments made to Honeywell in the first half of 2025; total company fully diluted earnings per share to be in the range of $2.75 to $2.87; and cash from operations, excluding the Honeywell termination payment of $405 million to $435 million. We are initiating an outlook for the third quarter of 2025 as follows: total company net revenue to be in the range of $1.85 billion to $1.90 billion; and total company adjusted EBITDA to be in the range of $220 million to $240 million; total company fully diluted earnings per share to be in the range of $0.70 to $0.76. Please go to our Investor Relations website to access our earnings presentation, which includes our outlook ranges along with key modeling assumptions for 2025. Now let me hand the call back to Jay for some final comments before opening the call up for questions.
Jay L. Geldmacher: Thanks, Mike. The last several months have been momentous for Resideo. Last week, we announced 2 important events. The first was an agreement with Honeywell to accelerate and eliminate all future monetary obligations related to the indemnification and reimbursement agreement. The second was to announce our intention to spin off our ADI business segment as an independent company. Both events are expected to create significant value in the near and long term while refining our strategic and operational focus and simplifying our story within the investment community. Operator, let's now open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Erik Woodring with Morgan Stanley.
Erik William Richard Woodring: I have a small handful, if I may. Maybe just to start, Rob, I'll start with you. Just really strong organic performance from ADI. I'd love if you can just kind of help us understand kind of price times quantity or price times volume in the second quarter, just to understand kind of where you got that 10% organic growth because, obviously, that is a multi-quarter high. And I'll ask a similar question but maybe opposite, just in the interest of time, which is I think most of the kind of as-reported versus organic growth metrics you gave for ADI would suggest the Snap One business is declining. I think it was a headwind to e-com exclusive brands and total growth. Can you maybe just help us understand what's going on in Snap One? Obviously, a bit more residential exposure, but just could come maybe compare and contrast Snap one with what you're seeing in kind of ADI organically, please? Yes. Sure, Eric.
Robert B. Aarnes: So thanks. So first question, if I look at that 10% growth, you can attribute 1% to 2% of that to probably closer to 2% to the tariffs, the price increases that we have implemented throughout the second quarter. As you know, when we get the price increases, we pass those right through. When we met, I guess, last earnings call, I think we talked about the potential volatility. We weren't quite sure what was going to happen to demand in the second quarter, but we were pleasantly surprised. I mean we did see momentum in March. And then through April, May and June, we just continue to see that momentum, specifically in the categories, as I mentioned in the prepared remarks, commercial security, fire video, professional AV and datacom. When I look at what we saw in the second quarter, the pipeline build, I mean, we're at record levels there. And that continued, by the way, into July. So I feel really good about the demand that we generated. I feel like we absolutely took share in the market and give me confidence to kind of continue that as we move through the rest of Q3. In terms of the actual overall performance is a good segment, good performance or the performance of Snap, right, versus the rest of the business. I wouldn't say declining. I would say, holding flat compared to the rest of the business. As you know, it's kind of a tough, tough macro environment out there on the residential side. We're seeing the same thing in residential security. But I will tell you this, we are seeing terrific benefits from the integration as we scale Snap's exclusive brand products to the rest of our ADI customer base. We had a kind of a prepared time line for that when we had originally done the deal in the first year, and we decided to accelerate that. We've moved really fast. I'd say we're in the fourth or fifth inning on that in terms of scaling to all of our stores. The majority of the assortment is up on the ADI website. So from that perspective, the integration is paying significant dividends for us. But I'd say, yes, the Snap business is overall about flat right now compared to the rest of the ADI business.
Erik William Richard Woodring: Okay. That color is super helpful. And Tom, maybe I'll jump to you. When you were going through kind of the retail channel, you highlighted the First Alert SC5 smoke detector, which is what I would call kind of expanding with a partner that is also trying to, I guess, and correct me if I'm wrong, disintermediate you in other relationships. And you kind of called that on the security side. Can you maybe just help us understand kind of in totality, when we think about the headwinds in security versus maybe some of these new opportunities you're disclosing, I think previously, you had talked about the security customer being maybe $100 million headwind. Last quarter, you talked about it being a little bit less. But overall, just help us understand kind of what's going on with that relationship because it seems like there are some headwinds, but there's also some tailwinds emerging. And maybe just unpackage that for us a little bit, please.
Thomas A. Surran: Okay. So first, let's deal with the SC5. That was done working with Google hand-in-hand to make sure we delivered a product that they believe to be a worthy successor of the best protect alarms. So that was tightly integrated in terms of the teams. They were excellent to work with. I hope they feel the same about how we performed. In terms of our relationship with Google, we're continuing to have discussions about other ways we can work going forward. Now I think what you were mentioning there is, well, Google had a security product, which was sold to another party, which is now in the security market, and we compete in the security market. We're not competing with Google in the security market. That's really kind the one piece of it. And our relationship with Google, we'd like to see strengthening going forward. In terms of the security market, though, how do we look at that in that large private label customer that we talked about. That relationship is dynamic. There were some forecasts that were related that we've tried to keep everyone informed about how it's progressed. The amount of the downturn has been less. I'd like to think that, that is because of our engagement with that customer, trying to make sure that we rose to any kind of question or opportunity to be able to provide value to them. We're continuing to have discussions about future. There's nothing to update at this point in time, specifically on revenue. I'll let Mike kind of make the call about any time we would want to give greater detail. But it's a customer we continue to support. We continue to work with, and we're hopeful that we can have a long-term relationship with our customer.
Erik William Richard Woodring: Okay. Perfect. That's also really helpful. And then maybe last one for me. And I guess I'll throw this to Rob, but it can be for anyone, which is the Snap One has a residential connected home kind of software and support OS back in the Control4 days. That feels like a kind of perfectly natural technology to kind of leave with P&S, the residential part of the business. What happened? Again, I realize that it's early, and the spin transaction is expected to be kind of a year from now, but what happens to that legacy Control4 platform that was integrated into Snap One? Does that go to P&S? Does it stay with ADI? And if it stays with ADI, just kind of where does that fit? Because it feels like it's an opportunity for P&S. But please correct me if I'm wrong, kind of an open-ended question for whoever would want to take it.
Robert B. Aarnes: Erik, I appreciate that. We're all smiling in the room here. It's a really good question. No, as of right now, and we don't see this changing at all, what came over with the Snap business as the acquisition that sits with ADI today will absolutely remain with us going forward. That's a strategic decision that we made, and we feel like we can actually, with some proper focus, right, we can actually do some things to rejuvenate, if you will, the Control4 brand. There's a lot of pull-through, as you know, that comes along with that. Of course, there's the oversea ecosystem that's highly complementary there. But with the launch of X4, which was the new operating system, I think it was April time frame. We're seeing good traction with that. Of course, Lux Lighting came out right after that. And we've got some good ideas for new products in the pipeline to support Control4 going forward. So it's staying with ADI, I think belongs here. And I think we've got a great opportunity to just continue to enhance the user experience going forward.
Operator: Your next question comes from the line of Ian Zaffino with Oppenheimer.
Ian Alton Zaffino: Question would be, I guess, on the margins at P&S. You've had a great run on margin expansion here. How are you thinking about ultimate margins, where we could go? And I know we're not per se in a normalized environment, but what do you think you could achieve in this environment? And then maybe as housing and repair and remodel improves, where can the margins go from there?
Thomas A. Surran: Okay. So first, I want you to understand we're not done with kind of the continued improvement in the margins. and there's a couple of pieces to the improvement in the margins. One is the value that we're delivering in the products that we're offering. So that's the NPI. And we have a pipeline that is full of products that we'll be introducing over the next couple of years that we expect to be accretive to margins. Second is how efficiently do you create that value. We have a plan to continue to improve our manufacturing footprint. And third is the mix of the products. So some of our products have higher margins, and we're making sure we shift our investment to those things that are going to maximize the return on our investment. So all that said, you're saying, "Okay, where does it end up?" We're going to end up, I would say, in the range of 45% to 50% over a longer period of time. We will continue to see the increments over the next couple of years to get to that kind of range.
Ian Alton Zaffino: Okay. And then on the tariffs, help us understand where the kind of power is? Are you able to push back on to your suppliers at all? Do you have the ability to do that? And four is you have to think the price and then hope to pass through to your customers? How do we think about that?
Robert B. Aarnes: Yes. Good question. The answer to that is an emphatic yes on several different fronts. Just based on our size -- I'll start with our branded suppliers first. And so based on our size and scale, right, we tend to have very favorable terms with all of our suppliers. Things like certain time periods before we get price increases told us, and then we have to make it effective in the channel. And so while tariffs might have taken effect, there's usually some distances or a time between the time we get our suppliers, where we get -- the tariffs get enacted and put in place and then have we put in place and then when the supplier price increases get put in place. So we're able to actually buy ahead inventory. I think I mentioned that as well earlier, have that average lower cost inventory as it burns through but higher price points in the channel. So typical distribution type of stuff. And then on the exclusive brand side, we absolutely are able to go back to a lot of our JDM suppliers and our RCM suppliers and actually get them to eat part of the tariffs. And we've been very, very successful with that. So between those 2 things and then, of course, all the pass-through, we've been able to mitigate fully the effects of tariffs since they went into effect late in Q1, early Q2.
Ian Alton Zaffino: Okay. And then just final question. Just on M&A, how are you thinking about that going forward? I know you're kind of digesting this big Snap One, but it's been almost a year now. So how are we thinking about M&A? Are there holes that you need to fill? Are there adjacencies you want to get into? Or is it just per se, scale and adding more doors on the ADI side?
Robert B. Aarnes: Look, we continue to refund our -- or I'm sorry, we continue to look at a strong M&A pipeline going forward. Yes, to your point, look, we were we were engaged heavily in making sure we drove a proper integration for a year. We're at the 1-year point. That's going very, very well. And now as we look to the future, I mean, M&A is always in the cards. I mean I'd like it to be in some of the -- our focus will be in some of the more adjacent space categories where we're seeing some significant growth. We still got some capabilities we want to build there, Pro AV and datacom specifically. And then I would also tell you, with now the addition of the Snap One product line, right? There's opportunities. There's technology opportunities, right, and ways to kind of fill out, better fill out that portfolio as well. So I would say that we're in a great position to continue to look to opportunities.
Jay L. Geldmacher: Ian, this is Jay. I mean I'd add, and I'll let Tom also comment. I mean M&A is part of both businesses' strategic plan. And Rob is right, in the case of ADI and Snap, that was a big acquisition to digest. As you've heard, they're doing a really good job on that front, but they've taken quite a bit of time as part of their creation of their and updating of their strategic plan to look at M&A opportunities. The same is true with Tom. The last big acquisition that Tom did, of course, was First Alert a few years back. But he is working with his team and taking a look at opportunities. Tom, do you want to add anything to that?
Thomas A. Surran: That's exactly right. We absolutely are looking at those opportunities we think add to shareholder value.
Operator: There are no further questions at this time. This concludes today's conference call. Thank you all for joining. You may now disconnect.